Operator: Hello, everyone and welcome to the Constellium Third Quarter 2024 Earnings Call. My name is Drew, and I will be coordinating your call today. [Operator Instructions] I would now like to hand you over to Jason Hershiser, Director of Investor Relations to begin. Please go ahead, Jason.
Jason Hershiser: Thank you, Drew. I would like to welcome everyone to our Third Quarter 2024 Earnings Call. On the call today, we have our Chief Executive Officer, Jean-Marc Germain; and our Chief Financial Officer, Jack Guo. After the presentation, we will have a Q&A session. A copy of the slide presentation for today's call is available on our website at constellium.com, and today's call is being recorded. Before we begin, I would like to encourage everyone to visit the Company's website and take a look at our recent filings. Today's call may include forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995. Such statements include statements regarding the Company's anticipated financial and operating performance, future events and expectations and may involve known and unknown risks and uncertainties. For a summary of specific risk factors that could cause results to differ materially from those expressed in the forward-looking statements, please refer to the factors presented under the heading Risk Factors in our Annual Report on Form 20-F. All information in this presentation is as of the date of the presentation. We undertake no obligation to update or revise any forward-looking statement as a result of new information future events or otherwise, except as required by law. In addition today's presentation includes information regarding certain non-GAAP financial measures. Please see the reconciliations of non-GAAP financial measures attached in today's slide presentation which supplement our IFRS disclosures. Before turning the call over to Jean-Marc, I wanted to remind everyone that earlier this year, we revised the definition of adjusted EBITDA at the consolidated level based on prior discussions with the SEC. The new definition will no longer exclude the noncash impact of metal price lag. We will continue to provide investors and other stakeholders with a noncash metal price lag impact as it is necessary to get a true assessment of the economic performance of the business. Our segment adjusted EBITDA will continue to exclude the impact and any guidance we provide for adjusted EBITDA will also exclude the impact. And with that, I’d now like to hand the call over to Jean-Marc.
Jean Germain: Thank you, Jason. Good morning. Good afternoon, everyone, and thank you for your interest in Constellium. Let's begin on slide 5 and discuss the highlights from our third quarter results. I would like to start with safety, our number one priority. Our recordable case rate was lower in the third quarter, leading to a rate of 1.9 per million hours worked for the first nine months of the year. While this safety performance puts us among the best in manufacturing, the rate is still higher than where we want it to be. We all need to constantly maintain our focus on safety to achieve the ambitious target we have set. It is a never ending task for our company and one that we take very seriously. Turning to our financial results, shipments were 352,000 tons, down 5% compared to the third quarter of 2023, mainly due to lower shipments in A&T and AS&I. Revenue of EUR 1.6 billion decreased 5% compared to last year, primarily due to lower shipments, partially offset by higher metal prices. Remember, while our revenues are affected by changes in metal prices, we operate a pass-through business model which minimizes our exposure to metal price risk. Our net income of EUR 3 million in the quarter compares to net income of EUR 64 million in the third quarter last year. As a reminder, the third quarter last year included a EUR 36 million euro gain related to the sale of our CED business in Germany. Adjusted EBITDA was EUR 110 million in the quarter, though this includes a negative impact at Valais, Switzerland of EUR 17 million as a result of the flood. This also includes a negative noncash impact from metal price lag of EUR 3 million. If you were to exclude the impact of the flood and the impact of metal price lag, as Jason mentioned earlier, the real economic performance of the business reflects adjusted EBITDA of EUR 130 million in the quarter, compared to the EUR 168 million we achieved last year. Looking across our end markets, packaging demand remained healthy during the quarter. While the backlog in aerospace remains robust, aerospace demand has started to slow down and shift to the right, as commercial aerospace OEMs are dealing with supply chain challenges and continue to struggle to increase build rates. Automotive demand during the quarter started to soften in North America, while weakness accelerated during the quarter in Europe. We experienced a sharp decline in demand in North America in most industrial markets and further weakness in most industrial and specialties markets in Europe. Jack will go through our detailed segment performance in a few moments. Moving now to free cash flow. Our free cash flow in the quarter was negative 10 million which includes a negative impact at Valais of EUR 6 million as a result of the flood. I am pleased to report that we continued our share buyback activities in a quarter. During the quarter, we repurchased 1.2 million shares for US $21 million. I am also pleased to report that our new recycling center and casting center in Neuf-Brisach started up in September, slightly ahead of schedule and below budget. Our leverage at the end of the third quarter was 2.8x, which is slightly above our target leverage range. As you can see, the third quarter was very challenging for us, as demand continued to weaken during the quarter in several end markets and the weakness has now spread to some other end markets. In addition, the flood in Valais had a significant impact on our financial results during the quarter. I will give you a full update on the current situation in the Valais a little later on. With that, I will now hand the call over to Jack for further details on our financial performance. Jack?
Jack Guo: Thank you, Jean-Marc, and thank you everyone for joining the call today. Please turn now to slide 7. Let's focus on our PARP segment performance. In the third quarter of 2024, PARP generated segmented just the EBITDA of EUR 61 million , which was down 9% compared to the third quarter last year. Shipments in PARP were stable versus the same quarter last year. Packaging shipments increased 3% in the quarter versus last year, as demand remained healthy in both North America and Europe. Automotive shipments decreased 6% in the quarter as demand started to weaken in North America and weakened further in Europe. Price and mix were stable compared to the third quarter last year. Costs were a headwind of EUR 6 million as a result of unfavorable metal costs, given tighter scrap spreads in North America, partially offset by lower operating costs. Now, I'll turn to slide 8, and let's focus on the A&T segment. Adjusted EBITDA of EUR 47 million decreased 41% compared to the record third quarter last year. Volume was a EUR 10 million headwind as a result of lower TID shipments. TID markets in North America saw a sharp decline during the quarter, and markets in Europe continue to weaken. TID shipments were also impacted at Valais as a result of the flood. Aerospace shipments were stable in the quarter. Price and mix were a headwind of EUR 12 million due to a softer pricing environment in TID and weaker aerospace mix in the quarter. Costs were a headwind of EUR 3 million. During the third quarter, A&T had a negative impact of EUR 7 million at Valais as a result of the flood. Now, turn to slide 9, and let's focus on the AS&I segment. adjusted EBITDA of EUR 10 million decreased 61% compared to the third quarter last year. Volume was a EUR 2 million headwind as a result of lower shipments in automotive and industry extruded products. Automotive shipments were down 9% in a quarter versus last year, as demand started to weaken in North America and weakened further in Europe. Industry shipments were down 35% in a quarter versus last year. As a result of further weakening in Europe, the sale of our German extrusion business in the third quarter last year, and the impact of Valais as a result of the flood this year. Price and mix were EUR 8 million headwind, primarily due to a softer pricing environment in industry and weaker mix in the quarter. Costs were a tailwind of EUR 6 million on lower operating costs. FX and other was a headwind of EUR 2 million in the quarter. During the third quarter, AS&I had a negative impact of EUR 10 million at Valais as a result of the flood. It is not on the slide here, but I wanted to summarize the current cost environment we're facing. As you know, we operate a pass-through business model, so we're non-materially exposed to changes in the market price of aluminum, our largest cost input. For energy, our 2024 costs are moderately more favorable compared to 2023, although energy prices remain well above historical averages. Labor and other non-metal costs continue to be higher this year, and given the pressure we're seeing in the market, we're accelerating our Vision ‘25 Cost Improvement Program, including additional fixed cost reduction efforts. We have demonstrated strong cost performance in the past and we're confident in our ability to rightsize our cost structure for the current demand environment. Now, let's turn to slide 10 and discuss our free cash flow. Free cash flow was negative EUR 10 million in the third quarter, which includes a negative EUR 6 million impact at Valais as a result of the flood. Year-to-date, we have generated free cash flow of EUR 57 million or EUR 63 million, excluding the impact of the flood. The year-over-year decrease in the first nine months is a result of lower segment adjusted EBITDA with higher capital expenditures and cash taxes, and the impact of the flood, which are partially offset by a favorable change in working capital and lower cash interest. As Jean-Marc mentioned previously, we continued our share of buyback activities in the quarter. During the quarter, we repurchased 1.2 million shares for US $21 million, bringing our year-to-date total to roughly 3.1 million shares for just over US $60 million. We plan to continue executing on the shared buyback program. We're not giving guidance on free cash flow for 2024 at this point. Given the rapid changes in market conditions during the third quarter and the actions we're taking internally to manage the current environment, there are many moving pieces, and we do not have certainty yet what will come in the fourth quarter this year versus the first quarter next year. However, we remain focused on generating consistent cash flow. Now, let's turn to slide 11 and discuss our balance sheet and liquidity position. At the end of the third quarter, our net debt of EUR 1.7 billion increased slightly compared to the end of 2023. Our leverage was 2.8x at the end of the quarter, were up 0.3x versus the end of the third quarter of 2023, and slightly above our target leverage range. We remain committed to maintaining our leverage in a target range of 1.5x to 2.5x over time, and at this stage, we expect leverage to trend down to our target leverage range in 2025. During the quarter, we successfully refinanced both the U.S. dollar and euro-denominated senior notes that were due in 2026. Also during the quarter, we extended the PAN-U.S. ABL maturity to 2029 and increased the commitment to $550 million from $500 million previously. As you can see in our debt summary, we have no bond maturities until 2028. Our liquidity remains strong at EUR 778 million , as at the end of the third quarter. We are extremely proud of the progress we have made our capital structure and of the financial flexibility we are building, including the ability to continue returning capital to our shareholders. With that, I will now hand the call back to Jean -Marc.
Jean Germain: Thank you, Jack. Let's turn to slide 13 and discuss our current end market outlook. The majority of our portfolio today is serving end markets benefiting from durable, sustainability-driven secular growth, in which aluminum, the light and infinitely recyclable material plays a critical role. However, in the short term, many of these markets are facing headwinds. Turning first to the Aerospace market, commercial aircraft backlogs are robust today and continue to grow. Major aero OEMs remain focused on increasing build rates for both narrow and wide body aircraft, although supply chain challenges are again slowing deliveries of completed aircraft. As a result, aerospace supply chains need to adjust to lower than expected build rates, which is causing a shift in demand to the right of some of our products. Despite the slowdown in the near term, we remain confident that the long-term fundamentals driving aerospace demand remain intact, including growing passenger traffic and greater demand for new, more fuel-efficient aircraft. Demand remains healthy in the business and regional jet and defense markets. Turning now to Automotive. Automotive OEM production of light vehicles in Europe remains well below pre-COVID levels, and is still below pre-COVID levels in North America as well. In a quarter, automotive demand started to soften in North America, while demand further weakened in Europe, particularly in the luxury and premium vehicle and electric vehicle segments, where we have greater exposure. As a result of the weakness in automotive, we have seen many global automotive OEMs reduce their outlooks at least once in the last two quarters. In the long term, vehicle electrification and sustainability trends will continue to drive demand for light weighting and use of aluminum products. As a result, we remain positive on this market over the longer term in both regions, despite the weakness we are seeing today. Let's turn now to Packaging. Inventory adjustments in canstock are behind us, and demand remains healthy in both North America and Europe. Promotional activity at the retail level is up year-over-year, but remains below historical levels. The long-term outlook for the expand market continues to be favorable, as evidenced by the growing consumer preference of the sustainable aluminum beverage can, capacity growth plans from can makers in both regions, and the greenfield investments ongoing here in North America. Longer term, we continue to expect packaging markets to grow low to meet single digits in both North America and Europe. Our new Recycling and Casting Center in Neuf-Brisach started up in September, slightly ahead of schedule and below budget. The facility is running strong and should ramp up quickly. Muscle Shoals, on its end, has made progress and had a solid third quarter production wise. We are encouraged by the improved performance we have seen there recently, and we expect operations to continue to improve as the year progresses. As you can see on the page, these three core end markets represent just over 80% of our last 1 -month revenue, turning lastly to other Specialties. During the quarter, we saw sharp declines in demand in North America, and demand continued to weaken in Europe. At this point, we have experienced weakness across most specialties markets for more than two years now. As a reminder, these markets are typically dependent on the health of the industrial economies in each region, including drivers like the interest rate environment, industrial protection levels, and consumer spending patterns. We are working hard to adjust our cost structure to the current demand environment, which will put the business in an even better position when the industrial economies do recover. To conclude on the end markets, we like the fundamentals in each of the markets we serve, and we strongly believe that the diversification of our end markets is an asset for the company in any environment, and that the current conditions will pass. Please turn to slide 14 now, and I want to give you an update on the impact of the flooding in Valais. In late June, we experienced unprecedented flooding in the Valais region of Switzerland, which devastated the region, including industrial activities at Constellium and elsewhere. Our plate and extrusion shops in Sierra and the casthouse in Chippis were severely flooded, and operations were suspended. The Sierra and Chippis facilities were under four to five feet of water at the crest, and it took six weeks to restore power to the site. Cleaning efforts are well on the way, with a strong focus on safety and efficiency. I am pleased to report that as of mid-October 2024, operations have partially resumed, and we anticipate restarting full operations in both our extrusion and plate shops by the end of November 2024. We currently aim to complete the production ramp up for the extrusion and plate business by the end of the first quarter of next year. Mitigation plans have been implemented, including transferring some production to other facilities such as Issoire and Juigne. We are also able to recover some of the inventory and ship it to customers. We're actively discussing with local authorities to secure the site against future flooding and ensure its long-term viability. The financial impact in the third quarter this year at Valais as a result of the flood, was EUR 17 million of adjusted EBITDA and EUR 6 million of free cash flow. For the full year in 2024, we currently expect the impact to be EUR 30 million to EUR 40 million of adjusted EBITDA and EUR 60 million to EUR 70 million of free cash flow, including the assumption of first partial receipts of insurance payments. We currently expect some cost impact in early 2025, as production of the facilities will continue to rise, and we also expect some of the remaining insurance proceeds in 2025. All of the insurance proceeds received are accounted for below adjusted EBITDA. As of today, we believe that the total impact from the flood will come in slightly favorable to our original estimate of July. Most of you are familiar with the saying, when life gives you lemon, make lemonade. Well, I think that is an accurate statement for our situation in the Valais. As a result of the flood, we're examining every aspect of the operations here, and a lot of the equipment is getting repaired and will be in better shape than before the flood. When looking in the rearview mirror at this event, we believe we will emerge with a lower overall cost structure in Valais as a result of our efforts, and our competitive position should improve as our assets will be better managed. I cannot say enough how proud I am of our team on the ground there, and the incredible progress they have made in a short period of time against significant odds. I wanted to take a second here to thank them for their incredible resolve and courage during this very difficult time. Turning now to slide 15, we detail our key messages and financial guidance. As I mentioned earlier, the third quarter was very challenging for us, as demand weakness accelerated during the quarter in several end markets, and the weakness has now spread to some other end markets. We are surprised to see how rapidly market conditions deteriorated since July. Based on our current outlook with these weak market conditions, for the full year in 2024, we expect adjusted EBITDA to be in the range of EUR 580 million to EUR 600 million . This excludes an estimated one-time impact of EUR 30 million to EUR 40 million in 2024 from the flood in Switzerland, and excludes the noncash impact of metal price lag. We are doing everything we can to manage costs in the business, and we are working to reduce our working capital levels to support the current demand environment. Given the softness we are experiencing today across most of our end markets, and with no signs of recovery in the near term, we are also more cautious as we head into 2025. At this stage, our adjusted EBITDA target of over EUR 800 million , excluding the noncash impact of metal price lag is delayed pending market recovery. In the near term, we have several adjusted EBITDA drivers that are within our control, including the drivers we discussed in July this year, such as our new Recycling and Casting Center in Neuf-Brisach ramping up, the better contractual terms in aerospace next year, and increasing our efforts to reduce costs across the business as part of our Vision 2025. We also assume that the two significant weather events in 2024 in Muscle Shoals and the Valais do not repeat. We are confident that the long-term fundamentals driving secular growth in our markets remain intact, and when markets do recover, it will create additional upside. In addition, over the last few quarters, we have outlined several new organic investments we are making that will start to contribute to adjusted EBITDA in 2026 and will ramp up in the years beyond 2026. To conclude, while we are facing very challenging conditions in most of our markets today, we believe that these too will pass, and I remain very excited about our future. We have demonstrated over and over again that we have the right strategy, the right teams, the right products in the right markets, and that we know how to overcome crises. Our business model is flexible and resilient. Our diversified portfolio allows us to have options in very different market conditions. We have built the balance sheet we need to both weather crises and seize opportunities, and our high-value recyclable and sustainable products respond to the growing needs of our customers and society. We are well positioned for long-term success and remain focused on executing our strategy and shareholder value creation. With that, Drew, we will now open the Q &A session, please.
Operator: [Operator Instructions] Our first question today comes from Katja Jancic from BMO Capital Markets.
Katja Jancic: Hi, thank you for taking my questions. Jean-Marc, you just mentioned there are EBITDA drivers that I guess are non-market related. Can you just remind us how much those drivers could add to EBITDA when combined?
Jean Germain: Sure, good morning, Katja, thanks for the question. So, the first one is the Recycle Center in Neuf-Brisach, which as I said, is ramping up nicely as we speak. That's EUR 35 million to EUR 40 million for next year. The second one is Vision ‘25. It used to be the third one but obviously given the market conditions we're seeing we're working hard on the cost structure and that should be north of EUR 25 million in cost savings into next year. The third element is the re-pricing of some of our aerospace contracts. I didn't give an exact number but you can figure it out given the fact that it used to be more than EUR 15 million and now it's less than EUR 25 million, so it's somewhere in between. And then I think we feel like we are turning a corner in Muscle Shoals, we are seeing better production out of the facility. Now obviously that's good in the context of the can sheet demand being healthy especially in North America but also in Europe. So that should also help us next year and provide some further EBITDA list. Now it's likely to be a little bit mitigated because, as Jack mentioned, the metal costs are at unfair role. The scrap spreads are tighter than they used to be by quite a bit, so that's upsetting some of the improvements in Muscle Shoals, but net-net, that's going to be an improvement as well. So these are the ones immediately now that are within our control and that should provide you add up all these, you get north of EUR 100 million of additional EBITDA, as we mentioned, back in July. Now, longer term, also in our control, we announced in the first, in the two first earnings call this year, four investments in Ravenswood, Muscle Shoals, Issoire, and Juigne that are going to -- you look at them in tow, it's about EUR 300 million of capital expenditures that are within our usual EUR 350 million of CapEx every year, and these should generate close to EUR 100 million of additional EBITDA. Now, none of that will impact ‘25 because these projects will start later in ‘26 and really a ramp up in ‘27, ‘28. But these are definitely a number of activities that are well within our control and that are well underway.
Katja Jancic: And maybe going back to the Vision ‘25, the cost reduction of EUR 25 million, does that include any incremental cost reductions that you were mentioning today that you're trying to do?
Jack Guo: So, Katja, I think our objective is to kind of rightsize our cost structure. So previously, the Vision ‘25, remember we said targeting EUR 50 million of savings over three years, right, so we're kind of halfway into that program and the program is performing well. Now we're accelerating in addition to the Vision, the prior Vision ‘25 target and we're looking at some of the labor cost reduction efforts and cutting back on some of the other kind of non-essential categories so the ‘25 is incremental to the prior effort.
Operator: Our next question today comes from Bill Peterson from JPMorgan.
Bill Peterson: Hi. Good morning and thanks for taking my questions. Maybe just thinking about 2024 to try to make sure understand some of the impacts in more detail. If you speak about the EUR 590 million plus the, I guess sort of I don't know what EUR 35 million from the slide that would still kind of push you maybe and then I guess if you added the EUR 15 million from the Muscle Shoals, that still puts you kind of like EUR 100 million below the low end of the prior, or I guess the original guidance. Can you walk us through, I guess, the market drivers, obviously, you're commenting that auto is worse in the US and Europe, and industrial seems that they can like down maybe some pricing and mixed impacts. Can you walk us through the various buckets of, I guess, what is worse and quantify amongst the various buckets, please?
Jean Germain: Good morning, Bill. Thanks for the question. Yes, I'll do that. So I'll start with the markets in sequence, right. So the first one, industrial markets, we had, we knew Europe was weak, it got weaker. In addition, we've seen a sharp decline in North American industrial markets, and namely, that's going to affect us through the TID product lines in the second half of this year. And you'll think, already evidence of that in our Q3 TNT numbers. So that's been quite a sharp reversal. I mean, you look at the trailer build, we're looking at 25%- 30% reduction year-on-year, but just one segment, right, compared to last year, clearly, much worse than what was expected. Then you look at the automotive market. Back in July, we were still thinking when the outside forecast for the industry was still slightly up compared to last year, now we're talking of 5% decline. And that decline is actually worse in the electric vehicle and luxury market segments. I mean, you've seen most OEMs have published a revision to their guidance. We know that there's a significant player in North America, Stellantis, he's an important customer of ours. They are struggling with a lot of inventory piling up in the deal of slots, so that is causing a very sharp reduction in demand going into the end of the year. Then in terms of cansheet, we're happy with it. It remains steady and strong, but we've got aerospace as well, where the supply chain issues are creating a further reduction in demand. Now, we have started the year with a more conservative assumption than what the OEMs were giving us, but now the reality is even more below what we thought was a conservative assumption going into the year. And what that means is some of our demand is going out, but we thought what happened is second half of the year is getting pushed into the next year. Now, you also remember that when we started the year, we had thought on the basis of our discussions with our customers and the market that the second half would be stronger. We actually had pulled forward some outages to make sure we had all the production capacity available in the second half, and clearly, we get caught wrong-footed because the markets are telling us a different venue than what we thought at the beginning of the year. So you think of all these items, you add them up, and you add to that the fact that the scrap spreads in North America are way tighter than they've ever been in the past five years. Plus, you get an impact of EUR 80 million to EUR 100 million of negative EBITDA compared to last year. So that's a very sharp difference built. And I think what we're saying here, then begs the question of when do we think that turns around? We don't know, but there's some elements that we know are going to be moved to the future. They're going to happen. Those aircrafts will be built. And now for other markets, and we all know they can be cyclical, and when they turn back is anybody's guess. But we don't think it's going to be a Q1 event. And I don't know if I answered, it was a long answer. I don't know if I answered all your questions, Bill. Go ahead, if you've got any follow-up.
Bill Peterson: Well, it does, a lot of market driven things. I just don't know if there's other comments that maybe price or mix or maybe just internally cost related. It may be also impacting in addition to the –
Jean Germain: No, actually, so on the price side, yes, I mean, when markets are low, are not strong, the pricing is a bit weaker as well, it's not such a dramatic impact for us. I mean it's more about the mix and especially in aerospace, right, where some of the more profitable products are the ones that are pushed to the right because they tend to be the ones that the OEMs will stock up on and anticipate those that they make sure they don't get -- they don't run out of them. They tend to be the more difficult ones to make, so these are the ones that are more critical that they want to make sure they got enough of. And if the build rates go down, then they adjust those stock levels. But I think back to the pricing issue, not really. I mean, the pricing in automotive is set, the pricing in aero can sheet is set, the price itself on aerospace is set. What changes is the mix, and the mix has been unfavorable. And on the cost side, actually, we're doing -- I think we're doing reasonably well.
Operator: Our next question comes from Timna Tanners from Wolfe Research.
Timna Tanners: Great. Thank you very much. Sorry. I was having a hard time with the audio, so I might have missed this, but I was hoping we could talk a little bit about what signs of any recovery you might be seeing, so thinking about next year. On the aerospace side, I was a little concerned you talked about just starting to see weakness. So, how do we think about the margin compression and that makeshift of that important high-margin product, and any signs of if that could be like a temporary de-stocking from your customers or how to think about that business in particular?
Jean Germain: Okay. Good morning, Timna. So, I'll address the first question on the, do we see any signs of a recovery in the markets? Not really, at the moment. We, and obviously cans, it’s going okay, right? Aerospace, I think we'll come back to the second part of your question. I think it's just a bump in the road. And on automotive and specialties or industry, I mean, we don't see recovery signs yet. Actually, we've seen a sharper decline than what we could have thought back in July. So no good news on that front. Regarding aerospace, I think it's starting to see weakness compared to the assumptions we had. But it's still a market where there is a clear need for more aircraft. The OEMs want to build more aircraft, but they are faced with temporary supply chain challenges or the supply chains are ramping up. So there's no need to dwell on Boeing, right? We all know what's happening there. But in the case of Airbus, it's really about making sure they program but they get the engines and the interiors that they need to complete the aircraft. And as they are slowing down their ramp up, they are slowing down the long lead time items that we supply to them. And that's what's happening. So what it means is ultimately those products will be made and sold by us to them, but it's not happening as we were thinking in the second half of this year. Now, in terms of margin compression, what that means is you've got a less rich mix in aerospace itself. So that creates a bit of a margin compression, but we don't think our margins are really at risk here. And if anything, the margins of this quarter are slightly depressed because of that makeshift, but also because of the Valais flood. Remember, some A&T has some presence in the Valais, so they are, that's mechanically putting pressure on their average margin.
Jack Guo: Yes, Timna, the only thing I would add, sorry, the only thing I would add is if you were to kind of strip out the impact of Valais, for the quarter, the A&T margins still attractive from a historical perspective, right, compared to what we had in the past, so the quarterly margin, it was still above EUR 1,100 euro per ton.
Timna Tanners: Sure, I was asking because you said you're just starting to see it, so I was trying to think of how much downside there could be, so if you'd like to elaborate that would be great, but I did want to also ask, given that you've talked a lot in the past about having good visibility based on the bulk of your business being in contracts, how does that protect you against some of this weakness, and in light of that, like, how do you think about, in a soft market with more capacity coming on, if there's much risk there or if you still think some of your contracts keep you protected.
Jean Germain: Yes, so we do have a good contract, but obviously you need to think of them as market share driven or requirement based, right? So over time, we are not going to sell products, for end products are going to be made in a given period of time. That said, there's a number of different factors here. In automotive, we can claim compensation from our customers, our OEMs, so that's providing us some protection. And in cansheet, the tolerances are pretty narrow and we know it's a pretty good at solid market. And also, we're taking a long term view. I think what we're seeing is a very sharp change in market conditions, but those things will bounce back as well. So on the upside, we'll be very happy with the contracts we have. So I think that's how we look at it. We've experienced already a number of cycles. This one may be a little bit sharper than we had thought and a little bit quicker, but there will be a bounce back as well.
Timna Tanners: Okay, if I could squeeze one more in. There's been some noise about additional taxes potentially in Paris. Is there something you could address for us, please?
Jean Germain: Oh, income tax. Yes.
Timna Tanners: Correct, yes.
Jack Guo: Yes. So, we'll be happy to. So it wouldn't impact 2024 because the incremental kind of tax, increasing tax rate is applied on ‘24 payable in 2025, so what that means, and that'll half in 2026 compared to 2025. So it just means a sort of temporary modest amount of increase in cash tax.
Operator: Our next question today comes from Josh Sullivan from The Benchmark Company.
Josh Sullivan: Hey, good morning. Just on the aerospace piece with the supply chain issues mentioned. Is this related to both the large OEMs or is their incremental impact stronger from one versus the other this quarter?
Jean Germain: Well, we are much more exposed to Airbus, as you know, Josh. So in the absolute, a smaller impact. Well, Airbus is a bigger impact for us than that for Boeing. So that's what I would say. And yes, we're seeing also things being challenged. So that delay. So that's also causing us a bit of grief.
Josh Sullivan: And then are you at minimums now or when did you go to minimums on the contracts?
Jean Germain: So as I said, our contracts, I don't want to go into too much detail, but they are requirement based. So we believe we are reasonably close to the minimum. Another way to look at it is you look at 2019, right? Our shipments were much higher than they are today. So the pre-COVID times. So that gives you an idea of where we stand.
Josh Sullivan: And then just on the sharp decline in North America, I know you said it's pretty broad based, but how should we think of inventory in the distribution channels or at customers? Is the sharp decline coming into a full inventory supply chain or were customers leaner at this point in the cycle anyways?
Jean Germain: No, I think there's quite a bit of stocking up in the inventory and that's creating some of the issue. If Boeing cannot produce as they should because of the safety issue, the strike issues and all that, then obviously, the material keeps on flowing in the supply chain and pies up, right, for aircraft that is not being built. So at some point there is a correction and I think that's where we are.
Josh Sullivan: Got it. And I was thinking on the North American industrial sharp decline from that -- from the general.
Jean Germain: Yes, well, I think so assets typically make also aerospace then what happens is you've got those assets slow down there's more appetite for TID volumes from the manufacturers of plate and sheet and the markets are slowing down there as well so it creates more tension in the market.
Operator: Next, we have a follow-up from Bill Peterson from JPMorgan.
Bill Peterson: Yes, thanks for taking a follow-up. The audio was bad earlier and I couldn't get the second question. I wanted to come back and ask a few questions around the flooding. So on the remaining sort of, I guess EUR 13 million to EUR 23 million of EBITDA impact. Can you, I guess, how would that be split between AS&I and A&T segments? And I think you, prior free cash flow guidance is around a EUR 100 million, ex-flooding. Would you think, does that hold? And I guess sort of finally on the flooding, I want to get a sense for how much EBITDA and cash flow impact could bleed into 2025?
Jack Guo: Okay. So Bill, I'll take these two questions. So first on the flood, so I think the way to think about the impact between AS&I, A&T is, call it two thirds at AS&I and one third at A&T. And these are just to be clear, the cost to EBITDA represents business interruption expense or other expenditures like cleanup costs, like equipment, OpEx, which are below the line, other kind of one-time costs, which is offset against the insurance proceeds, which we received and that falls below adjusted EBITDA as Jean-Marc mentioned as well. I just wanted to be clear on that point. And then in terms of the impact into 2025, we're kind of focused on restarting our operations as quickly as possible and some of it will fully ramp up this year by the end of this year or continue to kind of ramp up in the first quarter of next year. So there could be some impact there, but any, the cash impact there will be offset because if you look at the insurance amount, we penciled in EUR 50 million. We had received, EUR 21 million this quarter in Q3. We expect to receive about EUR 30 million by the end of the year. So we still have probably EUR 20 million to go next year, which will be offset against the expenses from a free cash flow perspective if that makes sense. So I'll pause here and make sure that I just want to make sure your question on Valais --
Bill Peterson: Well, I just want to make sure there's any other impacts in the -- any impacts in the ’25 and I guess and then just if you address the free cash flow target for 2024, does a EUR 100 million still hold?
Jack Guo: Yes, so no, I think, well, so hopefully my answer clarified on the question of Valais but maybe moving to free cash flow. So look, we're not guiding and I mentioned this in the script a little bit but we're not guiding free cash flow this year and there are a number of reasons for that. First as you can imagine with lower activity levels, we would expect some working capital release in a system but there's typically a lag right where in other words it does take some time for us to get the benefits on the cash side from having reduced metal intake. So it's really here, it's really timing. The timing is a bit uncertain and that means some of the benefits from the working capital release could come in Q4 of this year and some of it may come in the first quarter of next year. So it's just timing and the cash will be there. But outside of that, there is going to be some modest amount of working capital impact as we're shifting part of the production to elsewhere in our system as a result of flooding Valais. And then in addition to that, we have, there are many kind of action items we're working on to help improve our free cash here. So there are really a lot of moving pieces here and that's why we don't want to be kind of too prescriptive. We're focused on managing as carefully as we can. We're focused on consistent free cash flow generation and we're still buying back shares, right, which hopefully shows you that we have confidence in our ability to continue generate cash.
Operator: We have no further questions in the queue at this time. So I'll hand back over to the management team for closing remarks.
Jean Germain: Well, thank you, everybody, for attending the call. As you can see, this was a challenging quarter and we have the challenging market conditions that we're dealing with. I'm reasonably pleased in this context that actually our operations are performing well and we believe that we’ll emerge from these challenging market conditions even stronger. And we'll look forward to date you on our progress at our next earnings call. Thank you very much.
Operator: That concludes today's call. Thank you all for your participation. You may now disconnect your line.